Operator: Greetings and welcome to the Civeo Corporation Fourth Quarter 2021 Earnings Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is my pleasure to introduce your host Regan Nielsen, Senior Director, Corporate Development and Investor Relations. Thank you. You may begin.
Regan Nielsen: Thank you, and welcome to Civeo's fourth quarter 2021 earnings conference call. Today our call will be led by; Bradley Dodson, Civeo's President and Chief Executive Officer; and Carolyn Stone, Civeo's Senior Vice President, Chief Financial Officer and Treasurer. Before we begin, we would like to caution listeners regarding forward-looking statements. To the extent that our remarks today contain anything than historical information, please note that we're relying on the safe harbor protections afforded by federal law. Any such remarks should be read in the context of the many factors that affect our business, including risks and uncertainties disclosed in our Form 10-K, 10-Q and other SEC filings. I'll now turn the call over to Bradley.
Bradley Dodson: Thank you, Regan. And thank you all for joining us today on our fourth quarter earnings call. I'll start with the key takeaways and then I'll provide a brief summary of our fourth quarter and full year 2021 performance. Carolyn will then provide a financial and segment level review, and I'll conclude our prepared comments with our initial full year 2022 guidance and the regional assumptions underlying that guidance, as well as some directional commentary. And then we'll open up the call for questions. The key takeaways from our call today are the business continues to generate cash, while supporting our ongoing debt reduction. For the full year 2021, Civeo generated $87 million in free cash flow and reduced total debt by $76 million to end the year at $175 million of total debt. Our fourth quarter results were better than we were expected. In the fourth quarter, Civeo delivered $34.5 million of adjusted EBITDA and $26.1 million of free cash. We reduced our total debt by $20 million in the fourth quarter, bringing our net leverage ratio down to 1.49 times as of December 31st, 2021. Deleveraging our balance sheet remains our top financial priority, and this quarter is the 11th straight quarter of leverage ratio reduction Strategic investment in diversifying our revenue profile has paid dividends again in 2021, like it did in 2020 during the volatility experience across all three of our segments. While Australia activity declined in 2021 due to the China-Australia trade dispute and the business experienced increased labor costs due to COVID, our Canadian business continue to recover from the trough of 2020 to offset the Australian decline. If you recall, the exact opposite happened in 2020, where Australia had significant growth while Canada struggled, and the oil market struggled. This diversity and revenue drivers is a key component of serious free cash flow generation strategy. And we will continue to seek opportunities to expand our customer base and geographic footprint to reduce volatility in our free cash flow generation as we continue to reduce our debt. Despite high prices across the core commodities that we support, our customers continue to be focused on capital discipline and returning capital to share -- to their shareholders at the expense spending on increased maintenance or increased -- increasing production. This capital spending is ultimately what drives occupancy in our Canadian lodges and Australian villages. Civeo announced a share repurchase program in the third quarter of 2021, and we began executing on that program throughout the end of the year with total 2020 purchases under the program of approximately 217,000 shares repurchased. Return of capital to our shareholders is currently the secondary focus or our capital allocation strategy, alongside our first priority of debt paydown. Our Australian business continues to be burdened with increased labor costs related to COVID, travel and border restrictions coupled with subdued activity from our customers related to China-Australia trade dispute, which has led to lower build rooms in our villages In total, our team put together a solid fourth quarter, despite the challenges of the pandemic, trade disputes and limited capital deployment by our customers. Let me take a moment to provide a business update across our three segments. In Canada, our revenues and adjusted EBITDA increased sequentially and year-over-year driven by our Canadian mobile camp activity. As expected, our lodges did experience lower build rooms, sequentially related to typical holiday downtime in the fourth quarter. Our Australian results were above expectations. Our Bowen basin occupancy was better than expected, but did reflect some typical holiday downtime sequentially. Adjusted EBITDA in the fourth quarter was down year-over-year as a result of weaker customer activity in the Bowen basin and increased labor costs in our Western Australian integrated services business. Turning briefly to the U.S. Conditions for our U.S. business continued to be challenging in the fourth quarter, but increased year-over-year activity in our lodges and offshore business led to higher revenues and adjusted EBITDA versus the fourth quarter of 2020. Adjusted EBITDA was also positively impacted by a $3.8 million gain on sale of assets from the opportunistic fourth quarter 2021 sale of our West Permian Lodge. Turning into our balance sheet. Our net leverage ratio declined to 1.49 times at year-end from 1.86 times at the end of the third quarter and 2.06 times at the end of 2020. Proactively dedicating free cash flow to reducing debt remains our primary financial priority. With that, I'll turn the call over to Carolyn.
Carolyn Stone: Thank you, Bradley and thank you all for joining us this morning. Today, we reported total revenue in the fourth quarter of $159.8 million, with GAAP net income of $9.8 million or $0.58 per deleted share. During the fourth quarter, we generated adjusted EBITDA of $34.5 million, operating cash flow of $25.3 million and free cash flow of $26.1 million. The increased adjusted EBITDA we experienced in the fourth quarter of 2021 as compared to the same period in 2020 was largely due to increased build rooms in our Canadian oil sands lodges and increased Canadian mobile camp activity, partially offset by lower Australian village build rooms and increased labor costs there due to COVID-19. For the full year 2021, we reported revenue of $594.5 million and a net loss of $0.6 million or $0.04 per share. In 2021, we generated adjusted EBITDA of $109.1 million, a modest increase from our 2020 full year adjusted EBITDA of $108.1 million. Results from the full year 2021 reflect the impact of a strengthened Australian and Canadian dollar relative to the U.S. dollar, which increased revenue and adjusted EBITDA by $40.6 million and $9.8 million, respectively. On a constant currency basis, decreased build rooms related to the China-Australia trade dispute and increased labor costs across the Australian segment were offset by increased mobile camp activity and increased build rooms in our Canadian segment. Let's now turn to the fourth quarter results for our three segments. I'll begin with a review of the Canadian segment performance compared to its performance a year ago in the fourth quarter of 2020. Revenue from our Canadian segment was $92.2 million as compared to revenue of $65.5 million in the fourth quarter of 2020. Adjusted EBITDA in Canada was $23.1 million, an increase from $13.8 million in the fourth quarter of 2020. The increase in revenue and adjusted EBITDA was largely caused by a meaningful increase in build rooms in 2021 related to the recovery in oil prices and the reduced effects of the COVID-19 pandemic, especially in our oil sands lodges. This was coupled with increased mobile camp activity. Our U.S. dollar results further reflect the impact of a strengthened Canadian dollar relative to the U.S. dollar. During the fourth quarter build rooms in our Canadian lodges totaled 588,000, which was up 25% year-over-year from 469,000 in the fourth quarter of 2020 due to the factors we just discussed. Our daily room rate for the Canadian segment in U.S. dollars was $106, which represents an 8% year-over-year increase. Turning to Australia. During the fourth quarter, we recorded revenue of $62.3 million, down from $63.7 million in the fourth quarter of 2020. Adjusted EBITDA was $13.6 million, down from $17.2 million during the same period of 2020. These results, which represent a 2% period-over-period top line decrease on a constant currency basis, were driven by decreased activity in villages, as well as increased labor costs, which were largely the result of COVID related travel and border restrictions. Australian build rooms in the quarter were 465,000, down from 480,000 in the fourth quarter of 2020 to do again to the continued uncertainty related to the ongoing China-Australia trade dispute. The average daily rate for Australian villages in U.S. dollars was $77 in the fourth quarter, which is consistent with the fourth quarter of 2020. Moving to the U.S. Revenue for the fourth quarter was $5.3 million as compared to $4.2 million in the fourth quarter of 2020. The U.S. segment adjusted EBITDA was $3.3 million in the fourth quarter, which was an increase from a negative adjusted EBITDA of $1.4 million during the same period last year. These year-over-year increases were related to increased activity in our lodges and our offshore business, as well as the gain on sale of our West Permian Lodge. On a consolidated basis, capital expenditures for the full year 2021 were $15.6 million, which was up from $10.1 million during 2020. This increase is primarily due to increased Canadian lodge maintenance coupled with increased Canadian mobile camp capital expenditures related to the awarded pipeline contracts. Our total debt outstanding on December 31, 2021 was $175 million -- $175.1 million, which represents a $20.1 million decrease since September 30th, and a $76 million decreased from year-end 2020. Our net leverage ratio for the quarter decreased to 1.49 times from 1.86 times as of September 30th. And as of December 31st, 2021, we had total liquidity of approximately $92.8 million, which consists of $86.5 million available under our revolving credit facilities as well as $6.3 million of cash on. Bradley will now discuss our outlook for the full year 2022. Bradley?
Bradley Dodson: Thank you, Carolyn. I'd like to discuss our full year 2022 guidance on a consolidated basis, including the underlying outlook for each of the regions, as well as the underlying assumptions related to our guidance. We are initiating full year 2022 guidance of revenues between $600 million and $615 million, EBITDA between $90 million and $95 million. Our full year 2022 capital expenditures forecast is a range of $20 million to $25 million. Capital expenditures are expected to be high year-over-year in 2022 as we normalize our maintenance capital spending for our Canadian lodges and Australian villages after several years of prioritizing free cash flow. That being said, our primary financial objective continues to be maximizing free cash flow generation. Based on the EBITDA CapEx guidance just outlined, an expected interest expense of $10 million for 2022 and minimal expected cash taxes and working capital investment we expect 2022 free cash to range between $55 million and $65 million. To bridge our 2022 guidance from the 2021 actual, our 2021 adjusted EBITDA included approximately $13 million of non-operating items comprised of $3.5 million of Canadian emergency wage subsidy proceeds, $6.2 million in gains on sale of those assets and $3.4 million from other miscellaneous items such as insurance proceeds and contract settlement. Excluding those items from the 2021 results, our 2021 adjusted EBITDA would've been approximately $95 million, in line with our 2022 guidance -- EBITDA guidance of $90 million to $95 million. We've included any non-operating items in our 2022 guidance figures and are not aware of any such items at this time. The single largest uncertainty and our 2022 guidance is the timing and duration of the pipeline projects in British Columbia that we are currently supporting with our mobile camp assets. Should these projects extend further into 2022 or even into 2023? We could see adjusted EBITDA in 2022 improve by up to approximately $7 million to $10 million. I will now provide the regional outlooks and corresponding underlying assumptions by region. In Canada, as we look into 2022, we are encouraged by the recent uplift in oil prices. We know that our customers are currently prioritizing the return of capital to shareholders and need to be convinced of the longer term stability across commodity prices and the broader economy, as well as improving COVID-19 dynamics before materially increasing investment in Canada. While activity in our lodges should remain steady, 2022 mobile camp activity will be negatively impacted by the completion of pipeline construction projects throughout the year, including the incurrence of the related demobilization costs. We currently expect relatively consistent year-over-year turnaround activity in the second and third quarters of 2022, but as discussed in prior years, we won't get a more accurate view on this until at least March when customers look to secure turnaround rooms. Canadian mobile camp activity related to the Coastal GasLink Pipeline will remain relatively strong throughout the first nine months of the year after which the three mobile camps are currently expected to wind down by the end of 2022. However, our mobile camps supporting the TMX pipeline, expansion is expected to continue into 2023. When these pipeline-related mobile camps projects roll off, we incur the cost associated with the demobilization of these assets. We have currently included all three demobilizations in our current 2022 guidance, with costs of approximately $7 million to $10 million in total, or approximately $2 million to $4 million of demobilization costs per camp. If one of the fourth quarter demobilizations slips in 2023, we expect the demobilizations costs of approximately $2 million to $4 million to also slip into 2023.  Our Canadian guidance primarily depends on the following three assumptions. Decreasing COVID-19 infections and hospitalizations from current levels, and they do not impact industrial activity. Customers are currently prioritizing cap -- return of capital to shareholders versus deploying capital into their operations and this is reflected in our guidance. That being said, customer 2022 CapEx budgets are marginally higher than 2021, and with WTI oil trading over $90 a barrel we're consciously optimistic that customers will -- could increase capital expenditures further later in 2022. Lastly, availability of skilled labor continues to be an issue, limiting our customer's ability to increase staffing levels, particularly for turnarounds or construction projects, as well as impacting our ability to increase our headcount. Turning to Australia. We are encouraged by the significant increase in metallurgical coal prices in the back half of 2021 and into early 2022. However, customers are still focusing on capital discipline due the volatility in met coal prices, leaner weather and the lingering China-Australia trade dispute. Our current guidance reflects continued capital discipline rather than the current price for met coal. Iron ore prices remain at extremely healthy levels and customer activity in Western Australia remain strong, but COVID related travel and border restrictions continue to significantly increase the labor costs for our integrated services business. We are beginning to see signs of the restriction relief throughout Australia, but we believe labor shortages will remain throughout the year 2022. For our U.S. business, the oil and gas price environment has improved significantly in recent months, but similar to our Canadian and Australian customers, there has been an emphasis on living within cash flow versus growth. We expect our well side and offshore businesses to improve throughout the year, but this is offset by lower contributions from our U.S. lodges due to the sale of the West Permian Lodge in October, 2021. I will conclude our prepared comments by understanding the key elements of our strategy as we navigate this extraordinary market climate. Our mandate is as follows: We will prioritize the safety and wellbeing of our guests, employees, and the communities we work in. We will manage our cost structure in accordance with the occupancy outlook across our three regions. We will continue to enhance our best-in-class hospitality offerings. We will allocate capital prudently to maximize free cash flow generation while we continue to reduce debt and begin to return capital shareholders through our share purchase program. As we continue to reduce debt, we will seek opportunities to further diversify our revenue and free cash flow generation through organic opportunities. With that, we're have to take any questions.
Operator: Thank you. Ladies and gentlemen at this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thanks and good morning, everybody.
Bradley Dodson: Good morning, Stephen.
Stephen Gengaro: I think the first question is, is just kind of use of cash. I mean, you have the share purchase program in place. When I look at what you've done, you've done a great job paying down debt. You're going to generate apparent -- we think pretty good free cash flow next year. What will it take and why not just get ultra aggressive on the buyback?
Bradley Dodson: Well, as we've talked about in the past, we put the program in place in September, didn't give us a very large open window before third quarter and blackout period. But if you look at the disclosure in the 10-K, which we'll file later today or early tomorrow, you'll see that the pace of us buying back stock throughout the last four months of the year picked up each month. And so, at -- as we stand here today with about four months underneath our belt, we're about a third, -- 30%, a third complete under the authorization of 700,000 plus shares. And so, I think we've made a good pace, and we'll certainly look to be opportunistic around buying back stock here as we move forward into 2022.
Stephen Gengaro: Okay. Thanks. Has there been any thought of doing a -- I think you'd have to do a more complete filing in Canada to expand it to a larger buyback. Has there been any thought to that?
Bradley Dodson: We're continuing to evaluate that. Certainly, we've made some progress, but we'll need to continue to evaluate that and should become an option and that we want to take advantage of, we can certainly look at that.
Stephen Gengaro: Great. Thanks. Two other things. One is on the Canadian front, just listen into your commentary and you've provided a lot of color. The mobile camp side, you talked about the demos, and I think that kind of leads to a pretty sharp drop-off in 4Q EBITDA in Canada, just because of the demo cross, is -- can you give us any sense for the revenue of the two major pipeline projects? I mean, is it half the mobile camp revenue in Canada or is -- how should we think about that?
Bradley Dodson: Well, in terms of the camps, we have supporting Coastal GasLink and TMX, that is the totality of our mobile camp revenue. 95% to 100% of it is related to those two projects.
Stephen Gengaro: Okay. Okay. That makes sense. And then just the final one. Can you give us -- so the U.S. market has been interesting. When you think about activity growth, you sold the West Permian facility, how much revenue does that? I know, it's not a huge piece, but is that -- how should we think about the revenue contribution that facility had? And then, when we think about EBITDA, will that business kind of run EBITDA breakeven give or take for most of 2022, is that how we should be thinking about it?
Bradley Dodson: So, the revenue from the West Permian Lodge, as you may recall, we leased out the facility in totality. I believe it was in April of 2021, to a third-party who then operated that asset. We did a little less than $2 million in revenues from the West Permian Lodge last in 2021 before we sold the asset. And in total for 2022, if you'll allow me a range, I would expect will be breakeven to maybe a $2 million EBITDA loss in the U.S.
Stephen Gengaro: Okay. Great. Thank you.
Operator: Our next question comes from the line of Steve Ferezani with Sidoti. Please proceed with your question.
Steve Ferezani: Morning, everyone. Thanks for all the detail on the call. When you think about if not expanding on the share buyback and your net leverage is probably to a point that you're comfortable with, or maybe that's not -- or maybe you've changed the sort of target there, how are you thinking about capital allocation because your CapEx isn't going up huge?
Bradley Dodson: So, we have about $30 million, $32 million worth of amortization annually on the term loan. So, that -- that'll be a use of the free cash flow and then would look to continue to reduce leverage on the revolver as well. And then we'll opportunistically look to buyback stock as a secondary priority.
Steve Ferezani: And then in terms of the West Permian sale, which you mentioned, was opportunistic, and I know you had that relationship there beforehand. But would you -- are there any other assets you might consider divesting as you sort of reshape the portfolio?
Bradley Dodson: Yeah. Across all three regions, if we have assets that we can monetize at valuations that effectively bring forward the cash flow generating capability of that asset to the current date, we'll certainly continue to look at that. Absolutely.
Steve Ferezani: What will bring down Australian labor costs, and how are you thinking about that when you provided the guidance?
Bradley Dodson: They need to open the international borders, which they have. We need to see the WA border open internally, the state border open, and consistently be open. It has been open from time to time over the last 12 or 15 months. But then it will close again with very short notice, which makes it very difficult to source labor from Eastern Australia into WA. I think that this is across the world and dealing with limited availability of labor, as well as higher labor cost for us. It's a double whammy. If we can't get full-time hires and we get temporary hires, that are both more expensive on an hourly basis and then less efficient. So, our team has been working diligently to recruit folks, to bring in foreign workers as well. So -- but I do think that that process to kind of unwind with already happened will likely take the balance, the full balance of 2022. So our guidance effectively looks at -- looked at or is based off of the cost structure that was present in the second half of 2021. So, it assumes that it doesn't get better, but it assumes it doesn't get worse as well.
Steve Ferezani: Okay. Fair enough. Thanks. And just last one for me is, what would get you more positive on expectations for Canadian turnaround activity? It doesn't sound like you're super optimistic on a huge jump this year, even though we've seen the CapEx budgets, the initial ones, at least be higher, and we can see oil prices. What -- what's your thoughts there and what would get you more optimistic?
Bradley Dodson: Well, it's one of those times or topics where some of the public statements made by our customers. Don't exactly line up with what they're telling us on the detailed level, on a side by side basis. So, right now, our -- I would say to underlying your question, we're probably fairly conservative on our overall occupancy in Canada for 2022, but it's based on the best information we have from our clients. Should that -- should their actual activity line up more with what they've said about their CapEx, then we could have some upside for sure.
Steve Ferezani: Great. Thanks so much everyone.
Bradley Dodson: Thank you.
Operator: We have a follow up question from the line of Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thanks. So, Bradley, I was curious when -- you talked about uses of cash, has there been any thought of additional M&A, whether it's like the Action deal you were successful with down in Australia, or other potential deals? And then maybe beyond that, has there been any thought to other end markets as it pertains to M&A?
Bradley Dodson: Sure. Well, the Action transaction we did in July of 2019 gave us our foothold in Western Australia, gave us critical mass in that region, expanded our service-only business model significantly. And we were very pleased to do that. It also gave us exposure to iron ore which we did not have a significant exposure to that commodity prior to that transaction. In terms of priority, M&A would be last. So, in our view of capital allocation, debt paydown one, buyback two, look for organic capital growth -- organic expansionary opportunities, and then, M&A would be last. When we think about the value that our stock is trading at right now, we believe that the buyback program presents better returns then typically you can receive at least at this point in M&A. Ideally longer term, we would like to expand the business by kind of expanding within our fairway, but looking for ways that have give us greater customer, large our customer base or expand our geographies. But key being to our knitting in terms of the services that we're providing. And so, we have looked at other geographies and other regions, but typically closer to home than really going out and to a completely different geography in the world.
Stephen Gengaro: Thank you. And just one final, when you -- I think traditionally -- I have to go back and look at the exact numbers, but I think about 60% of your full year EBITDA falls in second and third quarters. And I guess outside of the seasonality that you is -- that you mentioned for the mobile camps in Canada this year, is there anything else that we should be thinking about, which would alter that normal seasonal pattern?
Bradley Dodson: No. I think that you've hit it, but just to be abundantly clear, yes. In Canada, the second quarter and third quarter with the turnaround activity are the two quarters with the highest regional EBITDA. In terms of Australia, we should see sequential improvement quarter-to-quarter, Q1 to Q2, Q2 to Q3, and then, either flat to slightly down in Q4 in Australia and that'll be dependent on holiday seasonal downtime. U.S. should be fairly flat. I'm cautiously optimistic on the U.S. business from a macro perspective, but it's not material to the overall Civeo financials. And then lastly, in total, yeah, about two-thirds of our EBITDA will come or is expected to come in the second and third quarters of the year.
Stephen Gengaro: Great. Thank you for the color.
Bradley Dodson: And one last name Stephen was -- and then of course, we've got the -- we currently have the vast majority demobilization cost in the fourth quarter in Canada, which is also impacting the kind of quarterly flow, if you will.
Operator: Our next question comes from the line of Sean Mitchell with Daniel Energy Partners. Please proceed with your question.
Sean Mitchell: Hey, Bradley. Thanks for taking the question. You may have -- I got on the call a little bit late, you may have talked about in your opening commentary, but looking at your capital spend in -- from 2020, I think you guys spent about $10 million in 2021, it went up closer to $15 million. This year going $20 million to $25 million. What is the -- what is kind of the maintenance cap that you -- if you think about a maintenance capital level within the organization, is it closer to that $10 million?
Bradley Dodson: I would say it's plus or minus $20 million.
Sean Mitchell: Okay.
Bradley Dodson: In 2020, our Canadian team -- given all the dynamics, we don't need the labor. But with what was happening in the second and third quarter is with related to COVID, we carved it way back and they did a great job of managing to a lower CapEx number. This year was some of the same, I mean, quite frankly, the spending in 2021 would've been higher except for supply chain disruptions when we couldn't get vehicles or computers, et cetera, to -- that we ordinarily would want purchase. So, our little less than $16 million of CapEx in 2021 ideally would be closer to $20 million if all supply chain disruptions had happened. And, so we have a higher expected maintenance CapEx number in 2022. But if you'll also recall guidance for 2021 started off at $20 million to $25 million. And so we're expecting kind of the same starting point. And for this year -- and we'll our best to be prudent in it. And we've always tried to spend capital where we need to but then not be smart about where we're spending it. So, I expect we'll do the same this year.
Sean Mitchell: Got it. Thank you.
Bradley Dodson: Thank you. It's good to talk to you.
Operator: There are no further questions in the queue. I'd like to hand the call back over to Bradley Dodson for closing remarks.
Bradley Dodson: Thank you, Doug. And thank you everyone for joining the call today. We appreciate your interest in Civeo and we'll look forward to speaking to you on the first quarter earnings call in a few months.
Operator: Ladies and gentlemen, this does include today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.